Operator: Thank you for standing by. Welcome to the Intchains Group Limited Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Alice Zhang with The Equity Group. You may begin.
Alice Zhang: Thank you, operator. Good evening to everyone. Welcome to Intchains Third Quarter 2025 Earnings Conference Call. Please be advised that the discussions on today's call will include forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on the company's current expectations and projections regarding future events that may impact its financial condition, operating results and strategic direction. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, we cannot assure you that such expectations will turn out to be correct, and the company cautions investors that actual results may differ materially from the anticipated results. Investors should review other factors that may affect its future results in the company's registration statement and other filings with the SEC. The company undertakes no obligation to publicly update or revise any forward-looking statements to reflect subsequent events or circumstances or changes in its expectations, except as required by law. Please note that in today's call, we will discuss certain non-GAAP financial measures. Please also refer to the reconciliation of non-GAAP measures to the comparable GAAP measures in our earnings press release. The presentation and webcast replay of this conference call will be available on the Intchains website at www.ir.intchains.com. It is my pleasure to introduce Intchains' CFO, Mr. Charles Yan, who will provide an overview of third quarter and 9 months 2025 financial results, recent operational achievements and the company's long-term growth strategies before opening the floor for questions. Charles, please go ahead.
Chaowei Yan: Thank you, Alice, and welcome, everyone. Intchains engages in design and development of altcoin mining machines, ETH accumulation and yield-generating strategies as well as Web3 application development. Among our 3 main business pillars, cryptocurrency mining machines are the primary revenue contributor, currently accounting for the entirety of our total net revenue. As we have previously discussed, our quarterly performance is heavily influenced by cyclical volatility, a common dynamic within our industry. And as expected, our Q3, our revenue was impacted by these factors. We had lower sales of mining machines as our flagship ALEO mining project which peaked in Q1 2025 has transitioned into a stable stage as market demand has gradually leveled out following the initial surge. Thus, revenue for Q3 2025 decreased to RMB 9.1 million, and we recorded a loss for operations for RMB 41.8 million due to softer demand for our products in the period. Our business operates in a dynamic market environment characterized by the natural volatility of the cryptocurrency and the mining machine industry. The fast-paced landscape presents both challenges and opportunities, and our strength lies in our ability to adapt swiftly, innovate continuously and capture emerging trends ahead of the competition. We differentiate ourselves by maintaining agility and technological leadership through careful market evaluation, committed R&D investment, rapid response to industry changes and the continuous introduction and upgrading of altcoin mining projects. We stay ahead of evolving trends. This allows us to deliver next-generation, high-performance mining machines that empower our community to participate early in the development and the mining of emerging altcoin ecosystem. Thus, similar to the performance trends of our peer group, our results are better measured on a year-to-date basis. We believe this provides a clearer reflection of Intchains' growth and overall business execution as crypto projects do not follow a fixed seasonal pattern and allows for meaningful quarter-over-quarter comparisons. That said, I would like to summarize our 9 months 2025 performance as compared to 9 months of 2024 by focusing on key metrics. Our 9 months 2025 revenues of RMB 184.7 million or $25.9 million decreased by 11% due to the cyclical fluctuations in the market and the softer demand for our products in this period. 9 months 2024 cost of revenue was RMB 108.2 million or $15.2 million and an increase of 42.9%, impacted by impairment charge recorded against excess mining machines inventory for certain altcoin mining machines during the period. 9 months 2025 total operating expenses were RMB 97.6 million or $13.7 million, increased by 6%, primarily as a result of higher G&A and sales expenses. 9 months 2025 loss from operations was RMB 21 million or $3 million compared to income from operations of RMB 39.8 million. Our 9-month 2025 interest income was RMB 8.6 million or $1.2 million, decreased from 9 months 2024, mainly due to the cash used to acquire ETH-based cryptocurrencies. For the 9-month period, we recorded a substantial gain in fair value of cryptocurrencies of about RMB 79.3 million or $11 million, primarily a result of increased ETH holding by 3,117 units since the beginning of the year and an approximate increase of 21.4% in ETH price during the period. As a result, our net income for 9 months 2025 was RMB 78.7 million or $11 million compared to RMB 38.7 million in 9 months 2024. Our balance sheet remains clean and strong. As of September 30, 2025, our cash position which consisted of cash and cash equivalents, deposits and government securities listed in long-term investment and short-term investments was $66.5 million. We had current assets of $93.2 million, total assets of $160.6 million and total liability of just $5.6 million. I would now like to discuss recent developments as part of our long-term growth strategies before opening the floor for the questions. For 2026 and beyond, we -- our growth is centered on the development and the sale of Goldshell mining machines and our ETH accumulation and staking activities. Our ability to identify and execution on new altcoin projects and to introduce new and competitive altcoin mining machines is built up on a continuous commitment to invest in R&D. Year-to-end, Intchains has invested approximately $9 million in R&D, underscoring our dedication to driving technological advancements and sustaining long-term growth. We view R&D not merely as cost, but as a core strategic pillar that enhances our competitiveness and responsiveness to evolving market dynamics. Through these efforts, we have successfully launched several key initiatives, which include the launch of new products and the implementation of continuous upgrades across our existing product line to enhance efficiency, performance and the user experience. Specifically, in February, we launched ALEO miner series service, which demonstrated our capability to deliver high-performance solutions tailored to emerging blockchain ecosystem. In March, we launched the Goldshell Byte, a dual mining machine that allows for the replacement of mining costs according to the market condition. In September 2025, we launched our first XTM mining service which compared -- which comprises of an XT BOX mining machines and XT CARD designed for our dual miner Goldshell Byte. The introduction of our new XTM miner series marks another milestone in our product road map, reinforcing our position in the forefront of the altcoin mining hardware industry and reflecting our ability to anticipate and meet the evolving needs of global miners. We expect the XTM miners to account for a meaningful revenue contribution in Q4 2025. In addition, we also added an AL CARD designed to mine altcoin into Goldshell -- to the Byte algorithm card portfolio, enabling Byte miner to seamlessly switch between mining of 6 cryptocurrency in total. In December 2025, we expect to receive our test chips of our new Dogecoin mining machine and are planning for the launch of this new mining machine in the first half of 2026. We are optimistic that upon commercial launch, this new product will become a top-tier Dogecoin mining machine, further growing the market share of our Goldshell brand and contributing to our top line growth for fiscal year 2026. Moving on to our ETH strategy. As of September 30, 2025, we had 9,919 ETH-based cryptocurrencies valued at approximately $37 million. While dollar cost averaging remains our long-term ETH acquisition strategy, we paused to purchase our ETH during Q3 due to a tactical funding allocation in response to the current market environment and currently do not plan to resume purchase activities in Q4. That said, we believe in the forward-looking asset appreciation potential of ETH and are actively exploring ways to enhance our ETH strategy to further unlock the value potential of our ETH position. In July, we announced a partnership with FalconX, aiming to enhance ETH acquisition efficiently and explore potential return enhancements through a structured ETH yield strategy. The cooperation focused on 2 key aspects: optimizing ETH acquisition utilizing FalconX customized derivative-based trading strategies; and pursue yield generation through a combination of lending and derivative-based strategy with annualized yield reaching as high as 10%. As part of this strategy, during Q3, we initiated a stake in a portion of our ETH strategy holding, about 1,000 units of ETH or approximately 11.3% of our total ETH holding within FalconX. With the goal of diversifying our ETH staking initiatives and in addition to our existing cooperation with FalconX to generate ETH return, we announced earlier today that the signing of definitive agreement to acquire a proof-of-stake technology platform, this transaction marks a significant step forward in expanding our blockchain infrastructure capability and strengthening our presence in the broader staking ecosystem. Through this acquisition, we are incorporating staking operations for 4 prominent blockchains, Ethereum, Avalanche, Manta and Conflux, which will further enhance our ability to provide a diversified, high-quality staking services and support the continued growth of our digital assets to operations. This acquisition positions us well to serve both individual and institutional crypto industries by creating ecosystem synergies through production-ready staking operations. By accelerating business expansion and leveraging established relationships with decentralized projects, we aim to explore new collaboration opportunities and further strengthen our position within the blockchain infrastructure ecosystem. We believe these business initiatives currently underway should drive tangible revenue growth and bottom line improvements in 2026. With the addition of the new staking operations, we have further broadened our -- broadening and strengthening our service and product portfolio, solidifying our presence in next-generation blockchain infrastructure. As our blockchain ecosystem continues to expand, we are confident that Intchains is well positioned to capture sustainable growth opportunities and enhance its role as a versatile player in this innovative and emerging sector. With that, operator, let's open it up for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Mark Palmer with the Benchmark Company.
Mark Palmer: Yes. With regard to the Dogecoin launch in 2026, which is a big part of the company's growth strategy for next year, how should we think about the timing of that launch and then the timing of the rollout throughout the year?
Chaowei Yan: Yes. Thank you for the question, Mark. Yes, our 2026 growth will be driven by the new product launch, especially Dogecoin is a key factor of our -- key contribution of our 2026. Currently, our schedule is that we expect to receive the test chip within 2025. And with that, we will know the power efficiency of our Dogecoin mining machine. And then we will deeply assess and develop the new mining machine. Currently, our plan is that the mining machine will be launched in first half of 2026 and will contribute revenue in the second half of 2026. Thank you.
Mark Palmer: And one follow-up question. With the announcement of the acquisition of the staking platform from ECHOLINK, assuming that, that deal closes as expected, how are you thinking about the role that staking would play within your platform? And to what extent would this be a platform you'd be using for your own staking versus what you would be able to do with third-party customers?
Chaowei Yan: Yes. Yes. Thank you for your question. Yes, regarding the proof-of-stake platform acquisition, the transaction has not yet been closed, and we are still in the process of completing the required closing procedures. But that said, we have already done the preliminary work, mainly around the security assessment and the infrastructure validation and the total integration plan to ensure that once the deal closes, we can move quickly and in a disciplined manner. After the transaction is formally completed, we will provide a more detailed update to investors, yes, including our operational road map and the collaboration with third parties and the strategic goals we aim to achieve within the platform. But currently, what is confirmed that our Ethereum, our near 9,000 Ethereum units, will be [ staked ] in this platform to generate ETH.
Operator: And the next question comes from the line of Matthew Galinko with the Maxim Group.
Matthew Galinko: Maybe firstly, if you can answer this now and maybe you'll have to wait until after the deal closes. But do you have any expectations on how you'll market the staking platform to customers? And do you think that would be branded under Goldshell or under its existing brand?
Chaowei Yan: Yes, we will the new platform under our own brand. Now currently, we have not decided we use Intchains or Goldshell or a totally new brand to run this operation. But we think we will choose a better way to run the business. As I just mentioned before, after the transaction is formally completed, we will provide a more detailed update to investors, including our road map. Yes.
Matthew Galinko: Got it. And as a follow-up, can you provide any help for 4Q R&D? Do you expect to be investing in the December quarter? Or is the number you reported in the third quarter a relatively good one to use for fourth quarter? It should be more like second quarter. Some kind of outlook for how we should be thinking about R&D for the balance of the year.
Chaowei Yan: Yes. In the Q3, we have a new product launch. Our XTM miner is launched in Q4 and the R&D expense mainly occurred in Q3. And in Q4, currently, we did not expect some a new chip to [ tape ] out in this quarter. So we think Q4, R&D expense will decrease. And yes. And in the next year, 2026, we have some way to decrease the total R&D expenses. So once we have some updates, we will update to you. Thank you.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I would like to turn it back to Charles Yan for closing remarks.
Chaowei Yan: Yes. Thank you, everyone, to joining us, and we are always open to a dialogue with investors. Please feel free to reach out to us or our Investor Relations firm, The Equity Group, for any additional questions. We look forward to speaking with you again on our next quarterly call. Thank you.
Operator: Thank you. And this concludes today's conference call. Thank you all for joining. You may now disconnect.